Operator: Good morning. Thank you for joining OFG Bancorp's Conference Call. My name is Todd, and I'll be your operator today. Our speakers are Jose Rafael Fernandez, Chief Executive Officer and Vice Chair of the Board of Directors, and Maritza Arizmendi, Chief Financial Officer. A presentation accompanies today's remarks. It can be found on the homepage of the OFG website under the fourth quarter 2023 section. This call may feature certain forward-looking statements about management's goals, plans, and expectations. These statements are subject to risks and uncertainties outlined in the Risk Factors section of OFG's SEC filings. Actual results may differ materially from those currently anticipated. We disclaim any obligation to update information disclosed in this call as a result of developments that occur afterwards. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Instructions will be given at that time. I would now like to turn the call over to Mr. Fernandez. Please go ahead.
Jose Rafael Fernandez: Good morning, and thank you for joining us. We are pleased to report our fourth quarter and year-end results. 2023 was an outstanding year with record levels of loans, customer deposits, assets, and stockholders’ equity. For the first time, commercial loan balances exceeded $3 billion and tangible common equity was more than $1 billion. Our Digital First strategy continues to empower existing customers and attract new ones. 93% of all routine retail transactions and more core deposits now take place through self-service channels, enabling our teams to focus more on business development opportunities. While consumer credit has begun to normalize post-pandemic, consumer liquidity and employment levels continue to be solid. Our commercial clients are doing very well in a strong economy. We are very proud of our accomplishments and thank the entire Oriental team for making this record year possible. Please turn to Page 3 for a summary of our fourth quarter results. Looking at the income statement, earnings per share diluted was $0.98, total core revenues were $175.6 million, and net interest margin was 5.62%. Provision was $19.7 million, primarily due to increased loan volume, non-interest expenses were $94.1 million and pre-provision net revenues totaled $88.2 million. Quarterly performance included two items of note. First was closing on the sale of non-performing Puerto Rico small business loans. We mentioned the planned sale last quarter. This resulted in a $6.3 million pre-tax gain. Second was workforce early retirement and rightsizing. This resulted in a $3.2 million non-interest expense for severance and lease cancellations. This stemmed from increased productivity in certain areas, in part as a result of our technology investments. Turning to the balance sheet, total assets increased to $11.3 billion from $10.3 billion last quarter. Customer deposits increased to $9.6 billion from $8.5 billion. This was due primarily to a $1.2 billion deposit of public funds in mid-December, giving us a total of $1.6 billion of government deposits. Loans held for investment totaled $7.5 billion, up 4% from the third quarter, with new loan production or loan origination of $664 million, up 17% from the third quarter. Investments increased to $2.7 billion from $2.1 billion in the third quarter. This was due to purchases of short-term treasury bills and long-term government-mortgage-backed securities. Cash increased to $748 million from $533 million. During the second half of 2023, we redeployed our higher-than-normal cash levels and maturing treasury positions into longer-term mortgage-backed securities. These moves position OFG balance sheet well for the expected lower interest rate environment in the second half of 2024. Looking at capital, the CET1 ratio was 14.12%, up from 14.06% in the third quarter. Please turn to Page 4 for a summary of our 2023 results. Earnings per share diluted for the year was $3.83, up 11% year-over-year. Total core revenues were $683 million, up 12% year-over-year. Net interest margin was 5.8%, provision was $60 million. Non-interest expense, $363 million and pre-provision net revenues totaled $326 million. Our capital actions in 2023 including increasing the quarterly dividend by 10% to $0.22 and completing $18.7 million of share buyback. We have approximately $17 million of remaining authorization. Please turn to Page 5 for an update on our Digital First strategy. As of December, 93% of all retail customer transactions and 96% of retail deposit transactions are now being made through digital and self-service channels. That is being driven by year-over-year growth in December of 11% in digital enrollment, 54% in digital loan payments, and 21% in virtual teller utilization, as well as the continued success of our Oriental Servicing Portal, which was introduced mid-2023. For new listeners, the portal is a cornerstone of our self-service strategy. Customers can manage all loans and deposit accounts. It enables them to originate and open checking, savings, and CD, applying for and accessing loans, managing automatic loan payments, and downloading bank letters and tax documents. We will continue to add new features on a regular basis. Our 2023 performance continued to validate our strategy and investments in technology. As I mentioned, they help us provide more value added service, increase our efficiency, and assign more staff for new business development activities. Now I'd like to welcome Maritza to the call to go over the financials in more detail.
Maritza Arizmendi: Thank you, Jose. Please turn to Page 6 to review our financial highlights. Starting with revenues, total interest income was $176 million, up $10 million from the third quarter. Key factors were a $7 million increase from loans, a $6 million increase from investment securities, and a $2 million decline from cash. Loans benefited from a higher average volumes and yields. The same factors affected investment securities, mainly due to fixed rate, higher yielding securities purchased late in both the third and fourth quarters. Average cash balances declined as we put more funds to work in loans and investment securities. Total interest expense was $33 million, an increase of $9 million from the third quarter. Key drivers were a $5 million increase due to a higher level of short-term wholesale funding and a $4 million increase due to higher average balances of core deposits at a higher rate. Total banking and financial services revenues were $33 -- $32 million, up $2 million from the third quarter. Wealth management revenues reflected annual insurance commission recognition of $2.5 million. Bank service revenues increased due to higher levels of economic activity. And mortgage banking revenues declined due to lower MSR valuation, reflecting the fall in long-term interest rates during the quarter. As a result of all of these factors, total core revenues were $176 million, up $3 million from the third quarter. Other noninterest income totaled $7 million, up $6 million from the third quarter. This was due to the gain from the sale of non-performing Puerto Rico small business loans. Looking at noninterest expenses, they totaled $94 million, up $4 million from the third quarter. The efficiency ratio was 53.59%, up slightly from the third quarter. Most of the difference between the third and the fourth quarter was because of workforce early retirement and facilities rightsizing. We plan to use the resultant savings to continue to invest in technology. This should enable us to continue to average about $90 million to $92 million of noninterest expense per quarter in 2024, with the efficiency ratios continuing in the low- to mid-50 percentage range. Other performance metrics remained high. Return on average asset was 1.76%, the same as in the third quarter. Return on average tangible common equity was 18.22%, a nice increase from the third quarter. Tangible book value per share was $23.13, up more than $2 from the third quarter. Tangible equity benefited from the increase in both retained earnings and AOCI. Please turn to Page 7 to review our operational highlights. Average loan balances were $7.4 billion, an increase of 3% from the third quarter. End of period balances were about the same. December 31 balances reflected sequential growth of 9% in Puerto Rico commercial loans, 7% in US commercial loans, 3% in auto loans, and 1% in consumer loans. Residential mortgage loans declined 3%, reflected continued regular paydowns and the securitization and sale of conforming loans. Loan yield was 7.96%, up 12 basis points from the third quarter. This reflected increases from variable rate commercial loans, higher entry yields on new loans and a smaller proportion of residential mortgages in the loan book. Average core deposits were $8.7 billion, an increase of 1% from the third quarter. End of period balances were $9.6 billion, an increase of 12% from September 30. This reflected the $1.2 billion deposit of public funds in mid-December. Core deposit cost was 107 basis points compared to 90 basis points in the third quarter. This increase mainly relates to 30 basis points due to higher rates on government deposits and 20 basis points in time deposits. As of the fourth quarter, our cumulative beta was 27% for interest bearing deposits and only 19% for total deposits. Excluding government deposit, it was 15%. Average borrowings and brokered deposits were $602 million compared to $266 million in the third quarter. The December 31 balance fell to $363 million, the rate paid on these wholesale funding increased 54 basis points to 5.21% in the fourth quarter. The interim quarterly increase in wholesale funding balances reflected asset and liability management strategies that involved a short-term need for increased liquidity. Most of the December 31 brokered deposit balance of $162 million will mature early in the current first quarter. We expect to use excess deposits to reduce wholesale funding. Net interest margin was 5.62%, that compares to 5.80% in the third quarter. Assuming some catch up in the deposit costs as well as the potential rate costs, we believe NIM could easily above 20 basis points over the first of 2024. Please turn to Page 8 to review our credit quality and capital strength. Net charge-offs totaled $16 million, down $3 million from the third quarter. The net charge-off rate was 88 basis points, down 17 basis points from the third quarter. The first quarter reflected net charge-off rate declines in residential mortgages due to recoveries and an improvement in commercial loans due to the absence of a $7 million charge-offs in the third quarter related to two US loans. Included in the fourth quarter net charge-off rates were increases in auto and consumer loans, mainly due to the higher level of delinquencies. Looking at other metrics, provision for credit losses totaled $20 million, most of which relates to increased volume. Fourth quarter early and total delinquency rates were in line with the third quarter at 2.76% and 3.76% respectively. The non-performing loan rate of 1.22% was the lowest of the last five quarters. Overall, credit continues to be good. With COVID cash stimulus fading away, we expect increased net charge-offs in auto and consumer, but with increased employment and our growing Puerto Rico economy, net charge-offs and delinquency should be lower than pre-pandemic levels. Looking at some of other capital metrics, total stockholders equity was $1.2 billion and tangible common equity ratio was 9.68%. To sum up, during the fourth quarter, we saw revenue growth continued to benefit from higher yields and higher balances of both loans and securities. Good loan originations driven by commercial, retail, auto, and consumer lending, increased core deposit costs mainly higher but betas continue to remain well below peers. Significantly higher end-of-period core deposits, higher short-term wholesale funding, credit conditions normalization, and core noninterest expense in line with our expected range that includes continued investment in our Digital First strategy. Now here's Jose.
Jose Rafael Fernandez: Thank you, Maritza. Please turn to Page 9. Our outlook remains positive for both Puerto Rico and OFG. The flow of federal funds to rebuild the island's infrastructure continues. Local businesses are expanding, the consumer is doing well, private capital continues to make investments in the island. We still have to watch out for all the big uncertainties, interest rate changes, inflation, possible mainland recession as well as the ongoing global contracts. But we remain optimistic about Puerto Rico and look forward to continued economic and business growth as well as strong levels of employment. Turning to OFG, 2023 results were driven by loan growth, good credit quality, and higher interest rate environment, and low deposit beta. We saw strong traction with beta adoption and client acquisition as Oriental self-service portal and other innovations are helping to build our businesses. As a result, we had a record year in earnings. As I mentioned earlier, assets, loans, customer deposits, and stockholders equity ended the year at new highs. Overall, our strategies have proven highly effective. Looking ahead, we are starting 2024 with strong momentum, excellent strategic positioning and a significantly larger balance sheet for both loans and investments. With this as a starting point, we anticipate continued loan and client growth. This will be partially offset by net interest margin easing over the course of the year due to expected lower interest rates by the Fed and by higher provision as consumer credit continues to normalize. As Maritza mentioned, we plan to continue to invest in and deploy more customer friendly technology. All in all, we look forward to a strong year in 2024. In closing, I want to emphasize that our results could not have been achieved without the hard work and dedication of all our team members. We are thankful to them and we're excited for what's to come in 2024 as we mark our 60th year in business and our 30th year trading on the New York Stock Exchange. With this, we end our formal presentation. Operator, please open up the call for the Q&A.
Operator: Thank you. [Operator Instructions]. Our first question will come from Alex Twerdahl with Piper Sandler. Please go ahead.
Alex Twerdahl: Good morning.
Jose Rafael Fernandez: Good morning, Alex.
Alex Twerdahl: First off, Jose, I was hoping you can give us a little bit more color on the $1.2 billion government deposit, where it came from, and whether or not it's something that's going to stick around on your balance sheet for a prolonged period of time?
Jose Rafael Fernandez: Yeah. So it's a longstanding client of ours and they had a one-time inflow of liquidity, and certainly, we are honored to be their bank. So again, at this point, we don't have full visibility on the uses of the funds. So for now, we're modeling it within our balance sheet as a short-term deposit. But in the meantime, we are again servicing longstanding customer that we have full banking relationship with them. We will definitely update you guys as we get more color from the customer. But it's a -- it's going to take a couple of more weeks for us to figure it out.
Alex Twerdahl: Okay. So I mean, I guess, when you're thinking about the NIM guidance. I think the 20 basis points of NIM compression throughout the year, should we just assume that on the balance sheet, excluding that $1.2 billion?
Maritza Arizmendi: Well, it’s just on the basis scenario, as Jose was mentioning that, it will be in for a short-term period. Yeah.
Jose Rafael Fernandez: Yeah. So it excludes that one-time, that deposit, our modeling excludes that deposit for the better part of 2024.
Alex Twerdahl: Okay. And is that government deposit just sitting in non-interest bearing now or is it something that's going to impact interest expenses in the first quarter?
Jose Rafael Fernandez: So it's a government deposit that is index based as all government deposits are these days. So it's earning interest right now on based on the formula that the government has established.
Alex Twerdahl: Understood. And then, I guess, as I think about the size of the balance sheet, you guys are obviously over $10 billion now. It's something you projected, something we expected. And your capital levels are building to a level where it suggests that you could have a much larger balance sheet than where you are today. How are you thinking about just overall managing the balance sheet over the next, I guess, year or coming years? And does the strategy shift at all now that you're firmly above the $10 billion mark?
Jose Rafael Fernandez: So our game plan remains pretty much the same. We see great opportunities for us to continue to grow our loan book here in Puerto Rico and somewhat in the States too, but mostly here in Puerto Rico. We are seeing a good economic environment that supports us in that effort. And that's the game plan that we have. We are basically now with good liquidity levels, excess deposits, and we want to deploy them first and foremost into the jurisdictions, in the locations that we operate in primarily here in Puerto Rico. So that's kind of how we're seeing it, Alex. We're not really planning or having any extraordinary event on the agenda for us. We just simply need to keep on going forward. And just to go back to the question on the deposit, on the government deposit, I just want to mention to you that, really, it's providing us -- gives us flexibility on our balance sheet because as Maritza mentioned in her remarks, she will -- and we have kind of canceled or let mature some of the wholesale funding that we took in the November, December month. So that cost of that, there is a differential that also benefits, a slight differential, but it benefits us. So it's also short-term, something that is going to help us to be more flexible and nimble with our balance sheet.
Alex Twerdahl: Got it. And then just final question for me, just on the workforce rightsizing and some of the actions. Can you just tell us what you did? And I guess what the impact is?
Jose Rafael Fernandez: Yeah, so first, it starts with, we've been investing in our Digital First strategy for several years. You've seen the investments. And part of thesis and hypotheses for us is that we're investing in technology to improve the customer experience and also to generate and incrementally start generating some efficiencies. So some of what you're seeing in the fourth quarter is our pointed effort towards starting to extract some efficiencies with the intention of using those efficiencies as the way we invest forward in technology and on our Digital First Strategy, as we've talked about. So we've seen some workforce reduction in some of the areas that have been invested mostly. And some of it is on branches but mostly on the operational side, and we're also seeing how we can be more nimble in terms of our facilities, and we were able to cancel and terminate one of the leases that we had. So again, it's all about how do we take advantage of the investments that we made to get the second part of the thesis that we presented to you guys several years ago, which is starting to get some efficiencies out of the investments too. So we're being very intentional with that. And that's why we can keep the expenses at the 90, 92 kind of quarterly level, as Maritza mentioned.
Alex Twerdahl: I mean, is the presumption then going forward that as the digital strategy continues to play out through the next year that maybe there'd be further rightsizing or further efficiencies found, I guess, sort of the end of next year?
Jose Rafael Fernandez: It's, for me, too early to tell, Alex. This is something really that we look very closely. And we will look at it on a quarter-to-quarter basis to see what opportunities surface. But we are certainly looking at it. Can't promise anything though.
Alex Twerdahl: Thanks for taking my questions.
Jose Rafael Fernandez: Yeah, thank you for your call.
Operator: Thank you. Our next question comes from Brett Rabatin with Hovde Group. Please go ahead.
Brett Rabatin: Hey, good morning.
Jose Rafael Fernandez: Good morning.
Brett Rabatin: Wanted to start with credit. And we've seen obviously credit continues to be pretty good. But we are seeing this as I guess everyone kind of an expected a normalization on consumer and auto. And I missed Maritza's comment on the 4Q trend versus going forward and that normalization. Was the comment that net charge-offs would be lower going forward relative to 4Q or can you maybe just give us some color on your expectations for charge-offs in the consumer and auto book? Thanks.
Jose Rafael Fernandez: So when you're referring to the charges-offs, you're obviously alluding to the consumer and auto charge-offs that Maritza mentioned in her remarks. And this is the way I look at it from a macro perspective, Brett. The economy in Puerto Rico is solid. It's doing well. The consumer has much more liquidity than they had pre-pandemic. The economy is much better than it was pre-pandemic also. So that's kind of the underlying environment that we're operating in. To give you a little bit more color, specifically on the auto loan book, I'll ask our Chief Risk Officer, Cesar Ortiz to give you a little bit of color on the auto book so you guys understand how we see this.
Cesar Ortiz: Thank you, Jose. The -- one other thing that I want to highlight in terms of context, taking the opportunity during 2022 and '23 of the increased demand in loans, in auto loans, we took the opportunity to improve and tighten our underwriting standards. So if you look at the portfolio composition in terms of prime Composition as of December 2023, we have an 82% prime composition, compared to 64% prime composition during back in fourth quarter of 2019. So that basically is giving us comfort that our levels of returning to normalcy will be better than pre-pandemic level.
Jose Rafael Fernandez: And, Brett, to your point about the charges, we expect them to increase slightly or level off around sometime mid-year as we continue to see the tighter credit standards that we put in 2022 and 2023, potentially generating lower levels of charges-offs. For the next several quarters, we expect charges-offs on the auto book similar to the fourth quarter as we start to normalize, but still better than pre-pandemic levels.
Brett Rabatin: Okay. That's helpful. And then on loan growth, obviously, strong production on the commercial side. Can you talk maybe a little bit about how you expect loan growth to play out this year, it was obviously -- I don't expect double-digit growth in Puerto Rico every year but you obviously hit that 10% mark in '23. What do you think about commercial production going forward, Jose? And then maybe just loan growth for the year?
Jose Rafael Fernandez: First, thank you for highlighting the fact that it's hard to replicate 10% loan growth every year. So I appreciate that bone that you throwing at us, but the way we see this is we see auto loan originations normalizing and trending slightly lower. Consumer probably relatively flat in terms of loan originations, and we see a good opportunity on the commercial side. Small, mid-size, and little bit larger type of loan opportunities here in Puerto Rico, we see good strong pipelines. We still see strong good demand. We see private capital being deployed in the economy in Puerto Rico, and that's kind of an area of opportunity for us as it was in 2023. So that's kind of how we're looking at this in terms of loan growth. If the economic grows to 2%, 2.5% as has been predicted, we expect to grow between 3% and 4%, our loan book. Note that we expect residential mortgage book to go down still during the year, as we're seeing less and less demand for us in that line of business.
Brett Rabatin: Okay. If I can sneak…
Jose Rafael Fernandez: Yeah. And as we sell some of those conforming loans. I'm sorry.
Brett Rabatin: Okay. Sorry, if I could sneak in one last one just around fee income, obviously, the wealth management, life insurance bucket benefited from, I guess, you call it unusual numbers in 4Q. Is it fair to assume that those line items go back a little lower? Maybe any outlook on fee income relative to the fourth quarter?
Jose Rafael Fernandez: Yeah. Remember, fourth quarter is impacted by the insurance contingent commissions that we get every year. So yeah, I think it will trend back down to the more normal level, around $30 million as Maritza mentioned, a quarter.
Brett Rabatin: Okay. Great. Thanks for all the color.
Jose Rafael Fernandez: Yeah. Thank you, Brett. Have a great day.
Operator: [Operator Instructions] Our next question comes from Kelly Motta with KBW. Please go ahead.
Kelly Motta: Great. Hi, good morning. Thanks so much for the question. Maybe piggybacking off the loan growth question, Q4, I know the Metropistas deal closed. I was hoping you could share about how much that contributed to your loan growth this quarter. As well as if you could offer any additional color on how the pricing of that compares to normal commercial originations [Technical Difficulty]
Jose Rafael Fernandez: So, thank you for your question, Kelly. So we grew -- from the third quarter to the fourth quarter, we moved commercial -- Puerto Rico commercial loans by around $196 million. We did participate on the Metropistas privatization, the highway privatization with a $75 million participation. So excluding that, we grew our commercial book by approximately $121 million, so ex-Metropistas, we still are seeing a 5.6% growth from third to fourth quarter. So again, most of that origination ex-Metropistas is coming from construction services, it's coming from hospitality. It's coming from small and mid size manufacturing companies that we do business with. And I think we also are looking into the small business side of the business is doing a great job, but generating good professional kind of offices, medical, and the like type of office financing and equipment. So we are doing a pretty good job on the Puerto Rico commercial book. And we think that the pipeline that we have and the approach that we have is paying off. In terms of the Metropistas loan rate and how does it compare to other larger loans, it's pretty similar, maybe slightly lower by 25, 30 basis points, but it's nothing too dissimilar from other large loans. But again, as we've said in the past, we do not rely on those type of transactions. We really are focused on our bread and butter, which is small and mid-sized commercial loans, and both teams, the small business team, and the large commercial team are doing a great job.
Kelly Motta: That's really, really helpful. Thank you for that. And maybe just getting some clarification around the margin guidance. I appreciate the outlook for about 20 basis compression. Just wondering what your assumptions embedded in there are for rate this year? And can you just remind us any index or floating rate on either side of the balance sheet, how we should be kind of thinking about that, when the fed starts cuts?
Jose Rafael Fernandez: So I'll give you my high level and I'll let Maritza give you more of the specifics, but the way we look at the interest rate environment currently for 2024 is for the second half of the year where we will start seeing some fed -- start seeing the fed taking some action and reducing rates three to four 25-basis-point cuts. So that's how we're modeling our net interest margin from a macro interest rate perspective. I'll let Maritza talk to you about the underpinnings of the margin.
Maritza Arizmendi: Thank you, Kelly, for your question. The balance sheet composition right now in the asset side, and this is something we have shared with you before, it is the fact that, in the commercial book, we have about half of our commercial loan book is at variable rates. So we have exposure when rates start to go down. And the other variability that we have is the maturity of the short-term treasuries that we took in the fourth quarter of $300 million in short-term treasuries. And a longer position that we have that will mature in May 2024 is $200 million in treasury notes. So that will reprice at current level. So that's the variability on the asset side, but what we have been doing during the last two quarters is adding an extension in the asset side at higher dealing with the acquisition of $700 million AMBS. And the idea is to continue to finance that at variable rate deposits and the structure of the government deposits that we recently add into the balance sheet have that structure. So we are adding variability into the liability side to position ourselves to a lower rate environment when it starts coming.
Kelly Motta: Awesome. Thanks so much for the help. Maybe kind of a last multipart question for me is on just the $10 billion in asset size. Can you, one, remind us the timing and impact of the Durbin. I know you covered it on previous calls. Just wanted to confirm and get an update, maybe…
Jose Rafael Fernandez: It should be in July. We started triggering the Durbin effect. So it's going to have a half year impact. And the full impact will be seen on 2025.
Kelly Motta: I think I recall it maybe roughly about…
Jose Rafael Fernandez: $5 million.
Kelly Motta: $10 million annually.
Jose Rafael Fernandez: Yeah, $10 million annually. $5 million 2024, and then the $10 million in 2025.
Kelly Motta: Got it. And then I believe in prior year-end, you talked about maybe strategically managing under that $10 billion in assets, maybe customers took excess funds and put it elsewhere. Just it seems like the large government deposit is idiosyncratic to that customer, not have anything to do with kind of previous managing under $10 billion. Just wanted to confirm that. And also, wondering if there's potential, inflows of deposits just related to customers who have OFG as their lead bank who may be -- you may recruit to bring more of that excess funds back now that you're clearly crossed that path?
Jose Rafael Fernandez: Yeah. So the first part of your question. No, we did not try to manage below $10 billion ex-government deposits and did not engage this year as we had kind of commented, I think, on the third quarter call. So we are managing and we were managing conscientiously towards breaking the $10 billion mark because it really makes total sense for us as we can reinvest those deposits into higher yield than in previous years. So that's the first part. On the second part, yeah, we are very active. And we are actually working very diligently in customer deposits strategies that will be deployed during the year. And that should play for us as we continue to grow our customer base, and again, take advantage of our good strategic positioning that we have in the Puerto Rico market.
Kelly Motta: Got it. Appreciate the color. Thanks so much.
Jose Rafael Fernandez: You're welcome. Thank you for your call and for your questions.
Operator: [Operator Instructions] And we have no further questions at this time. I'll now turn the call back to Mr. Fernandez for closing remarks.
Jose Rafael Fernandez: Thank you, operator. Thank you, again, to all our team members, and thanks to all our stakeholders who are listening. Have a great day.
Operator: This does conclude today's call. We thank you for your participation. You may disconnect at any time.